Operator: Ladies and gentleman, welcome to the Cimpress Fiscal Year 2015 Third Quarter Q&A Earnings Conference Call. My name is Karen, and I will be your operator for today. This call is being hosted by Robert Keane, President and CEO; and Ernst Teunissen, Executive Vice President and CFO. Before we take the first call, as noted in the safe harbor statements at the beginning of the earnings presentation, comments may include forward-looking statements, including statements regarding revenue and earnings guidance, and actual results may differ materially, risks that could impact these statements are described in the documents that are periodically filed with the Securities and Exchange Commission. Now we'd like to proceed with the first question. [Operator Instructions]
Operator: Your first question comes from the line of Youssef Squali from Cantor Fitzgerald Research. Please go ahead.
Youssef Squali: I assume you that you can hear me. Robert?
Robert Keane: Yes.
Youssef Squali: Hi, excellent thanks. Congrats on the continued progress towards your goals. I have two quick ones for Robert. I guess just looking at the North American market, 14% is a material improvement from a year ago, where you were, I think at somewhere around 2%. This is a business that way back you guys were able to grow North of 20%, so just trying to get a sense of how do you think North American growth could get back to as you continue to make the changes you've made so successfully so far. And the biggest issues you would gain the international business to grow at double digits, again I think last quarter was 5%, which is an improvement. But it seems that there is still a whole host of headwinds ex-FX and ex-M&A. And the other question is, can you just talk about, Robert, your appetite for more acquisitions, more M&A and how do you prevent Cimpress from becoming more of a roll up or holding company. Thank you.
Robert Keane: So if I take those in turn, be it in any of our geographic markets certainly North Amercia as you mentioned first, Europe and Australia, New Zealand, we are seeing a general pattern where we've radically improved the customer value proposition, certainly in the quality of the products, the transparency of the website, the clarity of pricing. We've expanded product selection, improved customer service, added a whole host of different things you've seen over the last several years. Now, we did that in the last three to four years in a quest for better customer value. We used to call this project, value to customer. And the reason we did that was we were very-very highly penetrated in the most price-sensitive customers of microbusinesses customers. So, even today our Vistaprint brand, when we move it towards higher expectations customers, it's still focused on microbusinesses with typically one, two or three employees, that are always less than 10 employees in that. And so even if you're talking about one or two employee companies, Vistaprint was not attractive to the largest chunk of those markets, because we were so focused on price-sensitive customers. Now, the headwinds we’ve created by taking down things like deep-deep discounting, heavy cross-selling, and unlike, were some serious headwind and we still face those headwinds. But the tailwinds that are coming from the other side of all these different changes we're doing are starting to overpower those headwinds. So, coming to your question how fast can we grow? I don’t want to give a specific number. But we've often said that we wanted to get this business worldwide back into healthy double digit growth. And we certainly see ourselves when we look at the market for higher expectations in micro-businesses; we got not larger businesses that we still remain very-very small in the overall market. So we think there is a huge opportunity for us to grow. Australia and New Zealand is now growing quite healthily. And if you look at market-by-market in Europe we see them tracking in a similar fashion as we've seen in Canada, as we've seen in Australia, and we've seen in the U.S. That is, it's a while to make these improvements. It takes a while after that when the headwinds of price changes are causing declines in growth rates and sometimes absolute declines like we've seen in Germany. But then it starts turning around. And today we're growing healthily in Germany, very healthily in most of Europe. There are some places that are growing much more than others. You don’t want to comment individual percentages by market. So your second question was, well I am just going to summarize. We think the whole business North America, Europe, Australia, New Zealand for Vistaprint should go with a healthy double digit growth. We would love to see it in the 20% range, but of course we're not sure of when we get there. We're 1.2 billion or so dollar brand approximately for the Vistaprint brand. And it'd be kind of unwise to be more specific than the aspiration of healthy double digit. Your question about Cimpress and our appetite for more M&A and roll up; so we certainly see ourselves as very much not pursuing a classic rollup strategy, which I would define as a private equity style financially driven approach. We have an explicit strategy that we've adopted in the last couple of years is to take the capabilities that we've built and the capabilities that we see some very innovative companies built in producing very small orders in very high volume, what we call mass customization, be in print or signage or a parallel of other products. In aggregate those back-ends through software systems and through operational management, it gives a scale based advantage. And the scale base advantage includes cost, but it's not at all limited to cost and it includes the advantages of having much broader product selection, much faster delivery because of a broader network of plans. It includes the ability to invest in quality systems and conformance systems. So across the board we've always seen that scales drives competitive advantage. So by looking at the future we've been saying, where do we allocate our capital? And we can allocate our capital in a number of different ways. And we do a huge amount of that in internal investments, technology development for new products, as a development of the software behind the platform itself. We can deploy it into improvements into the brand, like we talked about Vistaprint. But then we also are very willing to when we find the right targets to deploy that capital into acquisitions. And we are agnostic about how we deploy it. What we're looking to it is to where can we get the best return? And going to your question specifically we do see M&A at the current juncture as something that is a logical user of our resources. It's not our strategy per se. It's an enabler resource strategy, just as internal investment is an enabler, just at the right time. Share buybacks are enabler too, driving intrinsic value per share.
Operator: Thank you, your next question comes from the line of Paul Bieber of Bank of America. Please go ahead.
Paul Bieber: Just a quick follow up piece of question. Can you provide some color in the performance of the Vistaprint brand in some of the large geographies from a gross profit trajectory perspective or gross margin perspective? And then secondly, I think you have a new adjusted EBITDA reconciliation. Any advice on how you should model adjusted EBITDA going forward given the fact that there are several below the line items that you're not guiding to in that fairly.
Robert Keane : Yes. It's on the performance on the gross profit margin performance of the Vistaprint brand, it's generally quite stable year-on-year. We don't comment on the individual countries but there are not large discrepancies by country. Gross profit per customer, which is an important metric that we track, keeps improving for us. And that’s a very important metric, because that is a very important input into our lifetime value calculation and therefore how we invest our advertising dollars. In terms of EBITDA, we do a break out many of the below line impacts that are added back to EBITDA and we will continue to do that and help you reconcile. You've seen reconciliation for this EBITDA and we will continue to provide you the key components of that. We don’t provide it or don't plan to provide guidance on EBITDA per se. But we will give you the historical components and we will help you understand them.
Paul Bieber: And then just a quick follow up. Can you just give us some commentary on how it's to think about the contribution from some of the earliest staged countries, like Brazil, Japan and India as we head into the new fiscal year, on this early guidance, but just some qualitative commentary?.
Robert Keane : Sure. We see those markets as very long term investments and we see it as a portfolio of investment. It is currently weighing heavily on our EBITDA. I don’t -- I'll let Ernst or Meredith say if we've given a specific number. But it's North of $20 million a year. I don’t want to be -- gone beyond that. And we're making that type of investment. That’s the aggregate across all those. And we're making that investment with a view to establishing a great value proposition and a great production and service capabilities in those markets. So we see that as certainly continuing through the next fiscal year. We've said this before that we don’t expect that to be a contributor to the bottom line for quite some time.
Operator: Thank you, your next question comes from Robert Peck of SunTrust. Please go ahead.
Robert Peck: I was wondering if you could provide a little more color around some of the smaller markets in Europe and the changes that were made there in marketing impacting new customer growth. And then on COCA, you host a steady rise in COCA here in control. Just wondering Robert, how you look at COCA and ROI on that COCA. And is there any sort of clarification what the currency benefit was on COCA.
Robert Keane : So the first one is that we have started rolling out the same type of our changes we've made in our major markets into smaller markets. That’s what we call the reinvention of pricing in marketing cross selling practices and the smaller markets in Europe, for instance for Netherland side, Nordex, southern European countries. So they're following a very typical path that we've seen with the other larger countries that we've spoken a lot about. How we look at COCA? We look at COCA as one input into a DCF calculation and the DCF calculation is simple. We take how much it costs us to acquire a customer. We look at that versus the net present value of what we call contribution margin in the future. So, revenues line up on variable cost and we do a DCF and we invest up to our -- or down to our hurdle rates. So it's pretty straight forward approach.
Robert Peck: And then a quick follow up here on retention rate. Looks like it increased about a percentage point or so. Could you just talk to us a little bit about what's driving that for me, that metric.
Robert Keane : Before we do that may be just about the currency impact on -- you had a question on currency impact on COCA. COCA is an actual currency. It is not the adjusted for constant currency. So the COCA benefited slightly from lower European currency rates.
Robert Peck: Thank you, and then on the retention rate, please.
Robert Keane : Yes, so the retention rate is something -- just make sure we're referring to same page. We have a -- I think its page 20 in our document, in slide 20 in the presentation. And it went up to 44%. So that is looking at the trailing 12 month repeating customers is a percentage of the customers who'd bought in the year prior. And that is something that we've spoken about for a very long time. We do see that as a indicator of the loyalty of our customers and all these investments that we've been making in the customer value proposition are starting to flow through and now. There is a lot of moving parts in there. The fact is that we have brought down the number of new customers or the growth rate in the number of new customers. A year ago -- we have a base which is improving, and I think these things all tied together with the overall theme of the Vistaprint brand, which is we are trying to improve the loyalty and therefore the retention and therefore the cash flow per customer by a number of different activities and it started to show up in that retention rate.
Operator: Thank you. Your next question, it comes from the line of Brian Fitzgerald of Jefferies. Please go ahead.
Brian Fitzgerald: A quick question. How are you positioned relative to your manufacturing capacity at your core facilities given the recent acquisitions? And then from a standalone point of view almost, will the JVs in Brazil and Japan require additional capital or are they self funding their growth.
Robert Keane : Okay, so for the capacity we are across the board, we tend to run on pretty much where we need capacity to be the higher. The growth rates, the more we're building in an ongoing build stage. So some of these new recent acquisitions are growing well North of 20%, and so we do have to keep building up facilities there. That being said we can start to use some common facilities. So in one of the companies we bought which is now called Printdeal. It used to be People & Print Group. We have moved the production into our Dutch facility and we used a grafting space and we're now starting to coproduce some of the production lines, and so that creates efficiency. We see those types of efficiencies as very material in the mid to long term future, but we're asked -- immediately after a acquisition, we really try to make sure we preserve the ongoing business, especially if it is a high growth business. So there is some capacity gain there, but not a huge amount and in aggregate, I'd say we're running at where we need to be. In terms of JVs and capitals, do you want to talk about?
Ernst Teunissen: Yes, so this year is a year of significant investment in Japan. We are building a manufacturing plant there. And so some cash is flowing in for that. In Brazil, we have put up funding and we have on various stages an ability to increase our share holdings, so that may increase as well over time. And so, yes there will be additional cash outflow if this business continues to perform well.
Operator: Thank you, your next question comes from the line of Chris Merwin from the Barclays. Please go ahead.
Chris Merwin: Thanks. So it looks like order growth is down again in the 3Q but definitely but less than what we've seen in recent quarters. Do you have a long term target for order growth and I know that you've been very focused on driving improvements in the gross profit per customer metric and you've done it so quite successfully. But I imagine at some point you'd like to see orders inflect again. So what's the long term goal on strategy there? And then just secondly in terms of M&A, a lot of, I think almost all of their major acquisitions lately have been in Europe which would suggest that that market I guess is still pretty highly fragmented, but what are you seeing in North America? Are there similarly attractive assets that you could look at North America and how does that plan to your long term M&A and capital allocation strategy more promptly?
Ernst Teunissen : I'll take the first one and I'll let Robert answer the second one. So we don’t target our business based on the number of orders or order value. We present it to you more as an output. So we don't have a target in mind for order growth. Yes, it is true that our growth has been more through average order value and less through order growth, and it's very well possible. At some point the number of order starts to grow again. It's likely to happen and will continue revenue growth. But we don’t target a specific number for that. If the trend would be for a larger and larger orders and larger and larger customers over time, that would be consistent with our strategy and not necessarily a bad output, but so no target there.
Chris Merwin: Can you just add a little bit more color to what Ernst added?
Robert Keane : Well, I'll call the old Vistaprint marketing style. We drove a lot of impulse orders deep-deep discount advertising and often those orders would happen within hours or days of the first order because we could get out to the customer and say, oh by the way we'll come back and buy a bonus buy for instance. That drove near term order count and annual order count quite significantly as we moved away from those practices and we expect to continue move away from those. Customers are happier and more loyal. But they're coming back for what I'll call organic needs that are not impulse driven needs and so we see that the gross profit for customer that Ernst talked about coming up, which leads a better DCF at a given COCA. And so this is I think this is a kind of next level down behind Ernst's comment that we really don’t target the number of orders. In terms of the M&A in North America, let me think -- answer -- we hopefully give on all these questions, it does come back as how we evaluate something which is the DCF approach. And there are companies that are available in North America. It’s a fragmented market as well. But we have not thrown anything that we feel is attractive from a just pure DCF basis or that we couldn't do internally. So we aren't opposed to buying in North America. And we've looked in North America, but we just haven't found when we compare it to internal investments something that made tons. So, in the future it could happen.
Operator: Thank you, your next question comes from Shawn Milne from Janney Capital Markets. Please go ahead.
Shawn Milne: Just a couple of questions and I apologize if this is redundant. Did you give the impact from foreign exchange on the AOV?
Ernst Teunissen : No we've not given you the exact number for that, but obviously AOV was negatively impacted by the currency movements. The European AOV is negatively impacted.
Shawn Milne: Essentially that's the bridge between negative order growth, so AOV would have had, they're now close to double digit to get to your FX neutral acquisition, neutral number that you put out there.
Ernst Teunissen : In constant currencies it was double digit.
Meredith Burns: Yes, it was over a 10%, Shawn.
Shawn Milne: Right, well it has to be right. That’s the bridge. When it’s -- we got negative order growth, so there's got to be some other input there it sets well 11-12%, right?
Ernst Teunissen : Correct.
Shawn Milne: Okay. In the North American business and it's interesting I think the street numbers were low on revenue and you said in the prepared remarks revenue was a little bit better than expected. If I look at our model we were just [multiple speaker] didn’t comp?
Robert Keane : No, we didn’t say that. No, sorry to interrupt you. We didn’t say that in our prepared remarks. It was in line with what we expected.
Shawn Milne: Okay, so I think you said earnings were a little bit better than expected and --
Meredith Burns: Yes that was, yes.
Shawn Milne: Yes, I was actually thinking North America would be higher just because of the comp was so much easier. You know it was 12 points easier and your business only accelerated 5 points. What -- as we move into tougher comps now, what suggested North America is going to grow at a double digit since in the fiscal 16 or is that just really not the way to think about it?
Ernst Teunissen : Well we haven’t given guidance for FY16. I did answer to Youssef that we see the company however getting back to healthy double digit, but that’s a longer term view.
Robert Keane : Yes, and you're right. The growth in North America should be seen in the context of a disappointing Q3 a year ago with low growth. So indeed it is -- it was in that perspective software comp and that is something to take into account as we move into the fourth quarter.
Meredith Burns: And in fact we did mention in the prepared remarks that we don't necessarily expect to see the same year-over-year growth in the fourth quarter as a result. I mean we are in the middle still of making these changes and the optimization post changes. I think we can't express enough that although we think that the tailwinds are not outweighing the headwinds from the changes that we're making. We still have headwinds from the changes that we're making. And so that growth rate can definitely fluctuate from one quarter to the next. So, it's -- we don’t necessarily see as a steady path each quarter up to our aspirational goals of getting back to the double digit growth.
Shawn Milne: Okay and then on the gross margin fund, that was a really strong number. How much was that, was your Canadian manufacturing and then change in currency?
Ernst Teunissen : Yes, there is an impact of the Canadian dollar on our manufacturing. And so that is impacting the margin.
Shawn Milne: Okay and lastly and again I think I missed it, but philosophically I mean I kind of understand taking earn outs out of adjusted EBITDA, but if you're going to keep acquiring companies, should we have a schedule of an earn out, maybe it’s given that we can all try to reconcile to some standard EBITDA number or may be philosophically the answer is we should all be just trying to get to a free cash flow number.
Ernst Teunissen : Yes, philosophically the reason why we back it out is we see these earn outs as part of the purchase price. It's in many ways deferred payment. It's tied to a performance. But we don’t see it as operational result. And that is the reason why we take it out. We are providing you with insight into what these earn out payments are and how large they are we report them. So, it allows you the flexibility to account for them as you may see that.
Robert Keane : And we definitely agree with -- it is the way we manage the business. It goes back to cash flows.
Shawn Milne: I clearly see that and I understand that. I think it was all -- I will put myself in the camp and struggling to get to that right number from a modeling perspective, but thank you.
Operator: Thank you, your next question comes from the line of -- just one moment please -- from Mitch Bartlett from Craig-Hallum. Please go ahead.
Mitch Bartlett: Yes, good morning. I guess we're all struggling on a number of levels. I'm looking at the slide on page 20, where it shows trailing 12 months, new customers declining and repeating customers going up and that trend is very clear and I understand the whole philosophy. But what would that look like. Will that trend continue into the future for some time based on the marketing spent that you have right now and the matrix, not the individual markets to the new programs. I mean what have you said about those two lines going out into the future?
Robert Keane: We haven’t said [indiscernible], but if you go back to our presentation that we gave to the Street in August of 2011 when we talked about doing major investments, the biggest thing or investment we made in retrospect, that with investment in customer value proposition. In that presentation I actually used a slide of a bathtub talking about we were bringing customers in at a very fast rate with the faucet and unfortunately we are losing too many out of the drain and we wanted to slow that outflow and that was whatever four years ago. Almost, it's been a long movement. But we have always hoped to see that its implied retention rate would go back up. Now, this is not the historic high for us. We've had higher in the past before we started shifting over our value proposition and facing the headwinds Meredith referred to. So, we haven’t given specific numbers. But clearly we think we'd be a much healthier business if this continues to go up. We spent roughly a quarter of revenues on advertising and in the Vistaprint brand and to the extent we can get customers to stick around much more. It's going to be a much more lucrative business.
Meredith Burns : One of the ways I like to think about it is, if you think about the overall opportunity that we're serving with the Vistaprint brand, these very micro-business customers that Robert talked about and it's just that's happening from focusing only on the most price sensitive of those customers to expanding the value proposition to be able to appeal to these higher expectations customers. There are folks that we are already reaching today in that higher expectations segment of the market place. And there are many more that we have not yet reached. And so if we are successful in moving our customer value proposition to be more appealing through the products quality changes and selection and conformance and then also a much more transparent and consistent pricing approach we actually think that there is opportunity to see the new customer growth come back and grow again and there is a lot of work to do. Again it's been a multiyear shift already. We see many more investments to come along the way here, but that opportunity is there. We wouldn’t be making the investments if we didn’t think that the cash flows would come through and the returns would be worth it.
Mitch Bartlett: So, maybe I ask that a different way. If you go back to -- if you look at the lifetime value assumption of a customer that you're acquiring today, that you put on today and that assumptions of the lifetime value that they have. Is that a better lifetime value equation than you had may be five years ago?
Ernst Teunissen : I will talk about gross profit before and that’s a very important indicator. Also another indicator is improving repeat rates, retention rates of the customers. So if you look at the last few years you see that gross profit increase. And that is a function of the changes that we're making. So the gross profit is going up or customers ordering larger order values from us and thereby creating more gross profit for customers. So the COCA is at the same time also higher trending up, but in our LPB models we can easily afford that because of the higher gross profit and therefore lifetime dive.
Robert Keane: Can I end -- if to your question about what today's DCF versus five years of your DCF; there is a whole spectrum of cohort by cohort and channel by channel DCF. And so we look at that on per cohort or per chunk of spent basis, and we will invest down to the point where we're at our capital or a little above our costing [indiscernible] the rate. And so historically the European cash flow per customer in the net present value basis has come down over last year's and it's not going back up. In North America it's steadily gone up. But in terms of DCF basis inclusive to the cost of COCA, we continually, throughout that have tried to spend to the point where the marginal cost is justifiable. If you --
Ernst Teunissen : I will end it. I understand you trying to model this slide 20, I would say that in the event that we -- and we hope this happens, we get much higher lifetime values, we will do the same thing. We’ll start spending more down to that economically logical spend rate per customer in this, which is hypothetical. But just for a model perspective then the line of new customers would start increasing. And new customers are not as sticky as old customers. We don’t model this way ourselves, but I could imagine you could look at assumptions and if you assume our growth rate of new customers that’s going to weigh down the aggregate retention rate and if you follow it down, it's going to help it. I think you could model the impact, but it is dependent on how many new customers we're bringing in, which is then dependent on how much cash flow per customer because that drives how deeply we can invest in advertising.
Operator: Thank you, your next question comes from the line of Victor Anthony of Axiom Capital Management. Please go ahead.
Victor Anthony: Yes, thanks. Want to jump back on the COCA question from earlier. So, in Europe at one point do you think and make sense, at what point do you think you'll feel comfortable turning on the advertising in a meaningful way, so that you get a sense of that over the next several quarters. And what's the early read on the television prime advertisement campaign in the U.S.?
Ernst Teunissen : Yes, so in the Europe, we are looking market by market like we do in the U.S. What our returns are on the advertising and we continue to monitor that and as our gross profit goes up in Europe, we may see opportunities to spend more. And those trends are favorable in Europe like they’re in North America. The U.S. brand advertising was indeed a launch step last quarter. It's taking a really brand credit for the improved experience, we offer to our customers. It's very early days to say what the impact will be. It is short term headwind because it has lower immediate impacts like the more promotionally oriented commercials that we have put out before. But we believe over the long term it’s really going to help us with customer loyalty and retention.
Meredith Burns: So that's why on our TV ad we've gotten to those areas of having very positive feedback from our customers and target customers from focus groups that we've done. What we'd like to see over time but it is too early to measure is a move from brand awareness, two brand consideration. And so if you get that you could actually improve your conversion rate when people come to your side. So, it's very early to measure that right now. So we don’t have anything to report there. That brand advertisement that we made was created in a way that we could leverage it across multiple countries. So thus far we have only done the advertising in North America. But we expect that to roll out to the U.K market in the coming months and hopefully beyond in other markets in Europe shortly after that.
Operator: Thank you your next call comes from [indiscernible] of Crest Investment Partners. Please go ahead.
Unidentified Analyst: So, obviously you've discussed a lot that there are two factors dragging revenue. One is the decline in some sales to very price sensitive customers. Yes, there is the growth in the -- less pricing, so customers are joining and it's the net of the two that results in your abundant growth. I guess two related questions. The first is, can you try to quantify for us those two impacts. And then secondarily, as we look at the metrics that we're provided, which metric or couple of metrics would you say that we should focus on as our parameter to monitor these two impacts independently.
Ernst Teunissen : We don’t break out the performance of what we call higher value customers and higher expectation customers and the other customer base. And the best metric to see if that strategy is succeeding over time, our trends like what is the revenue, how is the revenue per customer trending. How is our average order value trending. We're not going to break out the individual performance. We can say that the growth of the higher expectation customers is very healthy growing at healthy double digits and we're pleased with the progress we're making. We are not breaking up separately.
Robert Keane: Just to help understand, one reason why we don’t break it out separately is that actually it's extremely difficult to be precise with these numbers. We don’t want people to think these are very discrete types of customers that can easily be identified one from the other. Demographically, they look very-very similar. So think of a -- as an example a small business of nail salon or a painting company or plumber with one employee or two employees could -- if you took a 1000 of them, some will fall in higher expectations. Some will fall into the price primary. And it’s a descriptor of what value they base their decisions on. So do they first look to price or do they first look to reputation for delivery, do they look to product selection etc. So we have done a lot of market research and deep customer understanding to create profiles on different types of customers. We can build proxies of how they operate. But these are not that you can go into -- Dun & Bradstreet database or any other database and say this customer falls in X and that customer falls in Y, which is -- it is one of the reasons why we're not breaking out in detail.
Meredith Burns: Chris, one other thing is that we do see happening as we look at sort of these major marketing changes that we've made. Sometimes we refer to it as reinvent. If we look at what's happening with cohorts of customers that were acquired before we started doing these changes and what’s happening with the cohorts that we've acquired since making those changes, and there is a distinct difference in the value of those cohorts and in things like new customer growth and things like repeat rates for the newer cohorts they're definitely higher than with the older cohorts, which makes sense; because the older cohorts were acquired at a time when our value proposition was different and was very price focused and discount focused. And so, we are seeing that change when you look at the difference from a cohort perspective.
Operator: Your last question comes from Randy Hayek [ph] of [indiscernible] Investment Group. Please go ahead.
Unidentified Analyst: Just a follow up on the questions about the TV advertisement. And by the way I've seen the advertisement, I think it's really outstanding. Is that by the way available on the Web site, is there a link to the TV advertisement.
Meredith Burns: I don’t know if there's one directly on the -- basically in homepage. But we have a YouTube channel and you can see the full length of that there, it's a 3 minutes full length ad is actually the best version in my opinion.
Robert Keane: And that actually it is clear that 3-minute is not ever used in advertising. It’s a -- we only buy shorter spots but we have over a million YouTube heads and similar number on other social media.
Unidentified Analyst: Okay. And are you going to quantify what the impact was on COCA as a result of the TV advertising. I mean obviously it's -- it moved it up and so is that a material impact.
Meredith Burns: Yes, we spent for the North Amercian version, this quarter we spend about $5 million on that brand advertisement.
Operator: I would like now to hand over the call to Robert Keane for closing remarks. Please go ahead.
Robert Keane : Thanks everyone for joining us on the call this morning. We're going to continue to work towards our strategy of building a mass customization platform. We want to build that across multiple brands and multiple focus brands, which help us bring it to market. We're going to continue with a capital allocation approach that we believe helps us deliver against the three priorities that I spoke about in my letter to the shareholders in our last annual report in which I repeated and outlined in our earnings document today. So, we really appreciate your time and your attention and we look forward to the next update. Have a great day.
Operator: Thank you, for your participation in today’s conference call. This concludes the presentation. You may now disconnect. And have a very good day.